Operator: Good morning, ladies and gentlemen and welcome to the Matrix Service Company Conference Call to discuss results for the Third Quarter Fiscal 2019. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to turn the conference over to your host, Ms. Kellie Smythe, Senior Director of Investor Relations. Ma'am, you may begin.
Kellie Smythe: Good morning and welcome to Matrix Service Company's third quarter earnings call. Participants on today's call will include John Hewitt, President and Chief Executive Officer; and Kevin Cavanah, Vice President and Chief Financial Officer. The presentation materials we will be using during the webcast today can be found on the Investor Relations section of the Matrix Service Company website. Before we begin, please let me remind you that on today's call, the Company may make various remarks about future expectations, plans and prospects for Matrix Service Company that constitute forward-looking statements for the purposes of the Private Securities Litigation Reform Act of 1995.Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our Annual Report on Form 10-K for our fiscal year ended June 30, 2018, and in subsequent filings made by the Company with the SEC. To the extent, the Company utilizes non-GAAP measures, reconciliations will be provided in various press releases and on the Company's website. I will now turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John Hewitt: Thank you, Kellie. Good morning everyone and thank you for joining us. This morning, I would like to talk about safety within the context of our current environment, which includes an increased number of projects, strong backlog and a robust opportunity pipeline, aggressive scheduled demands by our clients, greater number of employees on our job sites working longer hours and an increasing number of new employees entering the industry. While this business environment is very positive for our Company, it is imperative for us to not lose focus of our core values, number one of which is our relentless drive to zero injuries. I ask all our employees whether at home or work to stay focused on this priority. Our culture of safety requires your steady leadership, focus and commitment to be successful. Only through your efforts, will we achieve zero incidents, differentiate ourselves from the competition and meet the increasingly stringent expectations of our clients and provide value to our shareholders. Moving on, as I stated in our earnings release, we are very pleased with our third quarter results, which reflect the improvements in revenue gross margins and earnings per share that we forecasted and have discussed on previous calls. We expect continued strong performance in the fourth quarter. Our quarterly book-to-bill of 1.3 on project awards of nearly $460 million and our ending backlog of more than $1.1 billion demonstrate the continued strength we see across nearly all of our end markets, specifically in Storage Solutions and Industrial. This backlog includes the strategic project award announcement made last week by Piedmont Natural Gas. I would like to direct the balance of my comments to a discussion about the markets we serve and our progress toward our long term strategic objectives, including the goal of achieving $2 billion in revenue by fiscal 2022. When I think about the strategic decisions our Company has made over the last several years to diversify into other markets and additional capacity and expertise, maintain a clean balance sheet and invest in our culture, people and processes, it is all brought us to this point and prepared us to take advantage of the many opportunities across our operating segments. With abundant North American energy and the high demand for that energy on both the domestic and global stage, combined with the significant need for development of logistics infrastructure to deliver it and the demand for crude and gas processing facilities to improve it, Matrix Service Company is uniquely positioned to play a significant role in its development. In Industrial and Electrical Infrastructure, our strong brand position and strategic focus would provide us long-term growth and sustainable sources of revenue. As we look forward to fiscal 2022, our strategy remains focused around four key elements; safety, people and communication, clients and growth, and execution excellence. In safety, our mission to achieving and maintain a zero incident performance will never end. Ensuring the safety of our employees and those around us is not only a moral obligation, but a business imperative that should be rightly be demanded by our clients, our employees and each of our stakeholders. We will continue to lead a culture of safety across our entire Company. This includes making the necessary investments in our people and processes through training and development, so as to properly prepare them for the risks they encounter. Organizationally, we will continue to focus on the development of engineering solutions as the ultimate hierarchy of safety controls, the use of Tap-Root investigations, to pin down systemic issues and solutions, enterprise-wide implementation of dropped objects training, and improved incident reporting, tracking and response systems. These investments will help our team members to be even more proactive in the identification of risk and prevent incidents from happening. Beyond safety, our ability to achieve our strategic ambitions is highly dependent on attracting, developing and retaining best-in-class employees across the organization. Our industry is facing a significant professional and craft labor shortage that is expected to intensify in the coming years. Our proactive approach has allowed us to operate with minimal labor issues today, but in this environment it is important for us to be intentional as a company to develop craft resources. On both the craft and professional level, we must also ensure a work environment that is physically and emotionally safe, inclusive and diverse and one that creates long-term career opportunities. We will work to be leaders in our industry to change the negative dialogue about construction as a career to one that promotes it as a great place to work for young people entering the workforce. As such, across the Matrix organization, we continue to make significant investments in enhanced employee recruiting and selection processes, succession planning readiness, a robust best learning culture that supports our employees with development and advancement opportunities across the life of their career. We're also partnering with other organizations both in and outside of our industry to promote careers in construction and provide the necessary training and support needed for those who may wish to enter the trades. Overall, we are committed to making investments in our people, communicating throughout the Company our strategy and vision of the future, creating great leaders at all levels and providing a work environment where we will always be a great place to work. As you think about clients and growth, our Storage Solutions journey from tanks to specialty vessels to balance of plant to full terminal applications has created a unique delivery platform as well as strong brand awareness and diversified service capability that includes separately and in combination engineering, procurement, fabrication, construction and maintenance. The energy abundance across North America, combined with this new found importance in global supply has created significant opportunities for Matrix, an infrastructure for crude oil LNG and NGLs, and as such we expect project opportunities and awards in our Storage Solutions segment to remain strong and provide for continued growth, both domestically and into select international markets. With increasing crude oil production, especially across the Permian and Eagle Ford basins, and continued transportation takeaway constraints, the need for greenfield above-ground storage terminals, export facilities as well as additional tanks and infrastructure at existing terminals is significant and will remain so for the foreseeable future. In addition to projects already completed and currently under way, our teams are being tapped for additional opportunities that include large scale storage terminals and export facilities across North America. As the world's demand for clean burning fuel continues to drive growth in LNG and related infrastructure, Matrix is one of very few EPC contractors that possess the necessary expertise in storage tanks and terminals under one roof. As a result, we are uniquely positioned to provide full terminal EPC solutions for small to mid-sized LNG facilities, including export terminals, fueling terminals, bunkering and peak shaving facilities. Citing our emphasis on safety and proven excellence in the specialized construction, the announcement by Piedmont Natural Gas this past Friday that Matrix has been selected as the contractor for its 1 billion cubic foot LNG peak shaving facility is just one such example. For large scale export terminals, Matrix's leading storage tank and battery limit, balance of plant experience positions our business to play a key role in this long-term build out. In NGLs, we're also seeing more opportunities and awards for spheres, specialty vessels and related balance of plant infrastructure, supporting butane, LPG, propane, ethane and ethylene. Overall the market opportunities in our Storage Solutions segment underpin significant long-term growth, taking advantage of that growth will be supported by our ability to attract and retain people at every level across our organization, acquisition of additional resources and skill sets and continued expansion and development of our world-class engineering capabilities. We've talked on previous calls about the significant opportunities in Electrical Infrastructure, created by strong domestic market dynamics and power delivery, which includes high and low voltage transmission, distribution and substations, demand for environmentally compliant generation and more reliable, efficient, secure and interconnected distribution infrastructure. Electrical is an area of our business does not as directly impacted by commodity pricing. As a part of our diversification strategy, it is important part for us to grow this segment share of our consolidated revenue. Doing so requires that we continue to leverage our brand position to grow organically with existing and new premier power utility companies in and beyond our current Northeast service territory as we have done recently by expanding into the Midwest. It also requires that we extend our geographic reach through acquisitions with a focus on transmission and distribution as well as traditional substation business and various industrial applications. We will also continue to execute our successful strategy in power generation packages, targeting those that fit our legacy expertise and risk profile. In our Oil Gas & Chemical segment, as we have previously discussed, refinery spending on turnarounds has improved as evidenced in this quarter's results. In addition, we are finding additional opportunities for capital construction projects in daily onsite maintenance services, with the reshowing of North America's petrochemical and chemical markets, Matrix is in a prime position to extend our legacy refinery expertise to meet the needs of this market. We are doing so by making investments in business development, operational engineering resources and marketing to build greater brand awareness. And finally growth in natural gas demand both domestically and globally offers significant opportunity in midstream gas processing infrastructure and with our expertise in this area, which includes a nearly 3 billion cubic feet of installed cryogenic plant capacity, we will continue to build brand awareness and leverage our engineering expertise to grow market share in this critical part of the energy value chain. In our Industrial segment, with a leading position in the integrated iron and steel industry, we expect continued high demand for our services and maintenance, turnarounds and capital construction as our customers upgrade and build new facilities to support the production of higher quality products, achieve greater manufacturing efficiencies and be more environmentally compliant. We also expect improving opportunities in mining and minerals as commodity prices, especially copper, stabilize and our customers begin capital expansion and maintenance projects. Finally, we will continue to be opportunistic in niche markets, including bulk material handling, cement, grain and aerospace. Overall our strategic objectives for clients and growth are to take advantage of the strength in our markets, continue to diversify in the markets in which we operate, protect and nurture our strong client relationships with over 80% repeat business, find international markets for our services and apply developing technologies to our processes and procedures as well as our service offering. Finally, we need to continue to advance our execution platform to provide more predictable, consistent and sustainable results. Our strategies and tactics include maintaining a strong balance sheet to focus working capital management, a conservative debt structure and positive project cash flows; focused employee recruiting practices and strong training and development activities as we invest in our people to ensure best-in-class project management skill sets; exercising strong risk management practices across all aspects of our business, including project selection, estimating the proposal development, contracting, project execution, acquisition activities and joint venture relationships; improving gross margins and operating income through market expansion, costs leveraging, cost management and consistent project outcomes; implementation of an enterprise-wide quality management system to ensure that all aspects of our work are performed and delivered as planned; investment in the internal infrastructure of people processes and technology as well as plant and equipment that drive bottom line efficiencies and improvements; assure that our investor relations activities provide critical information that new and existing investors need to feel comfortable with our strategy performance and value creation; and finally implement a sustainable mindset throughout the Company to not only create better environmental impacts and outcomes find other opportunities where sustainable cost savings by driving a waste out of the Enterprise. I'll now turn the call over to Kevin.
Kevin Cavanah: Thank you, John. We are pleased with our strong performance this quarter. Before I turn to review the financial results for the period, I want to focus on three specific areas. First, backlog. We ended the quarter with the backlog of $1.146 billion. Our book-to-bill was 1.3 this quarter on project awards of $459 million, including $242 million in the Storage Solutions segment. This continues the trend of backlog improvement that began two years ago. During that two years, our quarter book-to-bill has not always been above one as the timing of project awards is fluid. As we have said in the past, backlog should be viewed based upon the longer term trend. The trend is positive with a market environment that remains strong. We are actively pursuing numerous viewed project opportunities throughout our business. We will have quarters that have a book-to-bill below one, but we will also have quarters of the high book-to-bill. What is important is that we have -- that we expect the positive trend in our backlog to continue as we move into and through fiscal 2020. Next, let's discuss our balance sheet and liquidity. We ended the quarter with total liquidity of $180 million, including the cash balance of $49.7 million and only $2.2 million of debt. During fiscal 2019, we have invested almost $40 million in working capital to support the 23% increase in fiscal year -- year-to-date revenue. Despite that investment and $13.7 million in capital expenditures, we have improved our liquidity, which has increased by nearly $43 million as a result of improved operating performance. This has further strengthened our financial position and we expect liquidity improvement to continue as we complete the fiscal year. Next, I'll talk about guidance. The performance improvement ramp that began at the start of this fiscal year continued in the third quarter and we expect that trend to continue in the fourth quarter. As such, we are confident in narrowing our guidance for revenue to between $1.375 and $1.425 billion and our earnings per fully diluted share to between $0.90 and $1.02. The guidance reflects the variability in our earnings that could occur based on the timing of project starts, engineering and permitting progress, the strength of the turnaround season and progress to achieve on acting projects. Now I'll discuss operating results for the third quarter as compared to the same period last year. Consolidated revenue for the quarter was up 46% to $359 million as compared to $246 million in the same quarter last year. Revenue for the Electrical Infrastructure segment increased $2 million to $61 million for the third quarter due to higher volumes of smaller power generation packages that better fit our legacy expertise and risk profile. That increase was largely offset by reductions in power delivery and larger power generation EPC work. Revenue from the Oil Gas & Chemical segment was $83 million in the third quarter compared to $68 million in the same period last year. The 21% increase resulted primarily from higher volumes of turnaround and maintenance work. Revenue for the Storage Solutions segment was $134 million in the three months ended March 31, 2019 compared to $77 million in the same period a year ago, an increase of 75% or $57 million. This expected increase in segment revenue is primarily the result of increased tank and terminal construction work that has resulted from the project awards booked over the last 12 months. Higher levels of repair and maintenance spending also contributed to segment performance. Revenue for the Industrial segment increased 94% to $81 million in the quarter compared to $42 million in the same period a year earlier. The increase resulted from higher -- at higher volume of reimbursable work in iron and steel. We recorded a consolidated gross profit of $36.9 million in the quarter as compared to $14.9 million during the third quarter of the prior year. As discussed previously, we expected our gross margin to continue to improve as we move through fiscal 2019. That trend accelerated during the third quarter as we produced a consolidated gross margin of 10.3% as compared to the gross margin of 6.1% in the third quarter of last year. On a segment basis, Electrical infrastructure produced a 10.2% gross margin. That was positively impacted by strong project execution on power generation package work. In the third quarter of last year, the gross margin was only 3% as results were negatively impacted by under recovery of construction overhead costs in a highly competitive power delivery market. We are pleased with the Electrical Infrastructure segment margin improvement this quarter, and are maintaining our long-term range of 9% to 12%. With that said, we still have more work to do to achieve consistent margin performance in our power delivery sector. This includes improved operating performance in our current service territory as well as geographic expansion through both organic inquisitive methods. Gross margins in the Oil Gas & Chemical segment this quarter improved significantly based on strong performance across all facets of this segment, including project execution and improved recovery of construction overhead cost. We produced a 13% gross margin for the quarter as compared to 6.9% in the same period last year. The gross margin for this quarter is an indication of the potential for this segment with strong seasonal turnaround volumes are combined with increasing activity in gas processing work. Based on a normal mix of business, we expect margins to be 10% to 12% for this segment. Gross margins in the Storage Solutions segment were 10.8%, which is a significant improvement from recent quarters and only slightly below our normal expected range of 11% to 13%. As we previously discussed, we anticipated margin improvement in the back half of fiscal 2019 as revenue volume increase on higher quality backlog booked over the last 12 months. In the prior year third quarter, our gross margin was 5.4%. Finally, in the Industrial segment produced a 6.6% gross margin in the quarter as compared to 10.1% in the same period last year. The fiscal 2019 segment gross margin was negatively impacted by lower than previously forecasted margins on a thermal vacuum chamber project, which is nearing completion. The fiscal 2019 or 2018 segment gross margin was positively impacted by favorable project closeout. Our normal margin expectation for this segment is 7% to 10%, while the reimbursable work for our iron and steel customers has led the growth in this segment. We are optimistic that improved copper prices could lead to new projects for our mining customers, which should help improve the margin performance in the segment. Consolidated SG&A was $24.1 million in the quarter as compared to $20.8 million one year ago. The increase was primarily due to improved operating results, which led to higher incentive compensation expense and higher stock compensation costs. Our effective tax rate in the quarter was 30.5%, which is higher than our forecasted rate of 27%. This occurred as our tax expense was negatively impacted by a valuation allowance of $0.6 million placed on foreign tax credits, which we do not expect to utilize prior to their execution -- expiration. Our expected tax rate is still 27% as we move forward. For the three months ended March 31, 2019 we produced net income of $8.9 million and fully diluted earnings per share of $0.33. In the third quarter of last year, we produced a net loss of $5.2 million and the fully diluted loss per share of $0.19. Moving on to the nine month results. Consolidated revenue was $1.018 billion as compared to $798 million in the same period in the prior fiscal year. The 28% growth was primarily driven by increased revenue from the Storage Solutions and Industrial segments. Consolidated gross profit increased to $88.2 million in the nine months ended March 31, 2019 compared to $70.5 million in the same period in the prior fiscal year. The consolidated gross margin was 8.7% in fiscal 2019 as compared to 8.8% in fiscal 2018. For the first and second quarters of fiscal 2019 gross margins were negatively impacted by the wind-down of lower margin work awarded in a highly competitive environment and lower than previously forecasted margins on a limited number of those projects. As I previously mentioned, gross margin significantly improved in the third quarter. Consolidated SG&A of $67.7 million for fiscal 2019, is up from the prior year expense of $63.9 million on higher compensation related costs that was partially offset by lower amortization expense. SG&A as a percentage of total revenue decreased from 8% in the year ago period to 6.7% this fiscal year as the Company works to leverage our cost structure. Finally year-to-date earnings per share is $0.55 compared to $0.12 in the prior year. I will now turn the call back to John.
John Hewitt: Thank you, Kevin. Before we open for questions, I want to thank our investors for their continued support, our clients for their trusts in our expertise and ability to safely deliver high quality projects and our employees for their commitment to our culture and core values of safety, integrity, stewardship, positive relationships, community involvement and delivering the best. I'm very optimistic about our ability to achieve our long-term strategic objectives and to generate sustainable shareholder value. It all starts with demand. We're working in strong, sustainable, diversified markets in an environment of positive GDP growth. We're focused. We have a clear vision, a strong strategy and an understanding of who we are and where we're going. We have a proven leadership team not just at the board and executive level, but at every level of our organization. And we have best-in-class people committed to our culture and core values. In combination with the demand and focus elements, we will execute safely, provide consistent performance across our diversified revenue streams and effectively manage capital. Doing these things will create continuous momentum and help us achieve our goal of creating greater long-term shareholder value. With that, we'll now open the call up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tahira Afzal with KeyBanc. Your line is open.
Tahira Afzal: Hi, folks. Congrats on a great quarter.
John Hewitt: Thank you.
Kevin Cavanah: Thank you, Tahira.
Tahira Afzal: So, a tricky question for you, John. But as we are touching the end of this fiscal year, how would you look at the moving parts into next year? I know it's a little early, but I just wanted to get a sense, one of the things that has thrown you off guidance before has really been the start point of some go project. Seems like you have a lot of projects now rolling into ramp. Would you say that the air pocket you see into the next fiscal year up maybe perhaps less than what you saw this year?
John Hewitt: Well, we obviously definitely feel better. Obviously by the strength of our backlog, we feel very good about the strength of our opportunity pipeline and not just in storage. While that is really strong and how into the future of what we see as potential projects. But really pleased in Oil Gas & Chemical is what we -- well the opportunities are not only for our market position and refining, but also the opportunity for us to continue to expand our position in the midstream gas processing market. Industrial continues to be strong, albeit for the most part a reimbursable lower margin business, but we continue to see that spending to be strong and the opportunity for you know other capital projects in work in the non-ferrous mining business, which really has not kicked off yet. And then you think about electrical, so we have as Kevin said, we still have more work to do in our -- on the power delivery side of our electrical business to get those kind of margins performance back up and that's going to be largely driven by our ability to expand geography. So we feel very good about the business, we feel really good about the opportunity to continue to grow our business over the next coming two, three years. For us to be able to do that, we're going to continue to be making some investments in people and processes and technology and equipment and can be doing acquisitions. All the things we need to continue to do to grow the business and take advantage of the momentum we have across all of our markets. So I mean I've given you the answers you were looking for, but I would say we still very -- kind of very positive where we are is positioned in the -- where we're positioned in our segments.
Tahira Afzal: I mean John would it be -- sorry, go ahead.
John Hewitt: I was just going to add on. So if you look at our funnel, there's a lot of new projects out there that we're tracking. Those are still while we've got a good backlog, those next projects are still fluid as the exact timing of when those -- when those get awarded and then when they start. So yeah it's probably not as great at risk on the wind project start as it was say 12, 18 months ago, but it's not a risk that's been totally eliminated.
Tahira Afzal: I mean would it be fair to say, if I was to compare your commentary from last year you sounded more confident about that funnel moving through a release point.
John Hewitt: Yeah, I think we feel you know we obviously feel more comfortable about our opportunity funnel than we did 12 to 18 months ago. Those projects for the most part are either backed by blue chip companies with strong balance sheets or there is some high takeaway demand required in good regulatory environment that they're in and [indiscernible] timing of awards issue for us to some extent is a good thing too as we build our bench strength and roll some -- roll teams from projects to projects. The way we see those projects the award cycle there rolls good into our ability to move from project to project and continue to grow our services across the Storage Solutions segment.
Tahira Afzal: Okay. And on the margin side, given as always helpful on the segment margin ranges you're looking at for this year, there you're going to be entering it seems the next fiscal year with higher margin for utilization, I should say, in couple of your very important sectors like segments like Storage. So do you feel a little more comfortable or confident around the bias headed into next year on where you could end up in those margin ranges with potential for maybe some of those maybe revised up?
Kevin Cavanah: Yeah I think we're -- I think we're probably the most confident in the storage margins. We've got the backlog there. We know the quality of projects we have there. Obviously Oil Gas & Chemicals performing well and so we've seeded that margin and expectations there this quarter. Still feel pretty good about the margins there. If you look at the industrial segment, we've been just below the bottom end of the range, with the segments dominated by iron and steel reimbursable work, that's really low risk and may not be the best margins, but it's low risk. For us to consistently get in that 7% to 10% range, we need to see more revenue from the copper side of the business is really very small at this point. And that is looking out, but we still got to get those projects in the door. And as John mentioned the Electrical segment, yeah this is a great quarter for them. Congratulations to that business. Well, we still have more work to do to consistently achieve margins in that range. So overall, yeah I feel better about the margin ranges now than it did a year ago. Still got more work to do.
Tahira Afzal: Great. Thank you.
Operator: Thank you. And our next question comes from the line of John Franzreb with Sidoti. Your line is open.
John Franzreb: Good morning, John and Kevin.
Kevin Cavanah: Good morning.
John Franzreb: Back to the margin discussion, it almost sounded to me like you were tapping down expectations in oil and gas from coming down to 13% to more than the normal range of that business. Is that a function of how strong this turnaround season was and that maybe the full one doesn't line up with similar strength or is any of the particular reason why you would see that margin contract a little bit going forward?
Kevin Cavanah: So we've got a diverse business there. It's not just turnaround and maintenance. There's a lot of other things that contribute to that business. You have gas processing work, there's at least the chemical business, there's some industrial cleaning. You've got just normal refinery maintenance in there. And this quarter, if you look at each one of those individual businesses, they all performed at a very good level. And so when you combined it all together, you've produced a 13% gross margin. That doesn't always happen and that's not something we should normally count on. 100% of the business is operating now at a 13% level. So I would say that I'm not trying to temper down expectations for that segment. I'm just trying to talk about what's reasonable, what's that we should expect for that segment?
John Franzreb: So much for wishful thinking. Okay. And in the industrial side of the business, I mean you kind of called out that you have reimbursables going on. I think you said a vacuum chamber project that's also a low margin business. I guess my kind of -- my question is in the project awards in the quarter, I think it was $85 million or so. How much of it is still low reimbursable business and has that shift started yet?
Kevin Cavanah: I'd say almost all the project awards in the quarter were reimbursable work for iron and steel and some of that was capital work and we traditionally performed a little better on that work. And that is still reimbursable and you don't really know what the end results going to be till we get to before the end of those projects. The thermal vacuum chamber project, we've done good projects on thermal vacuum chambers where it made good money. Just happens with one. We're working on now is when we booked during the downturn. The good news is, we're going to be complete on that here in the next few months. So that will be an issue.
John Franzreb: Okay. Got it. Got it. And just one last question regarding your $2 billion revenue forecast few years out. That necessitated a sizable amount of M&A. We haven't seen a lot in the past two years. Can you kind of just talk us through what your thoughts are as far as the M&A environment. What segments might have the best near-term opportunity. Just an update there would be helpful. Thank you.
John Hewitt: Yeah, we -- this is John. So I think that growth is come out of both organic means and out of M&A. And M&A just kind of help support the organic growth. So we want to grow our electrical piece of our business. We'd like that to be three times bigger than it is today. We're going to be looking at acquisition opportunities to move that business into other parts of the US, as well as we mentioned in our prepared remarks, there's -- where there's organic means where we can expand that business as well, which we're already doing by working for some of the major utilities in the Ohio Valley and in the Midwest. We're going to be looking at and areas where we can strengthen our engineering resources. So we're able to take on more EPC projects where we're able to get on the front end of projects say in the chemicals business to help to support our terminals -- terminal tank and terminal business, where we see a lot of opportunity there for just organic growth. So we need to have the bench strength to build to support that. We have the aspiration to be able to provide our tank and terminal business into Latin America, Mexico and into the Caribbean where we see opportunities coming at us today. So looking for a execution platform for companies that operate down in that area are going to be important to us. And just other acquisitions where we can continue to strengthen our organizations diversified platform across the entire enterprise. So we're actively out looking. We're going to continue to be conservative on what we do. I think we've had a pretty good track record of not overpaying for acquisitions of not taking on significant debt to do an acquisition. And so we're going to be very focused on the things that we want to strengthen and grow within our strategy and those are the things we're going to be going after.
John Franzreb: Great. Thanks a lot, john. I'll get back to the queue.
Operator: [Operator Instructions] Our next question comes from the line of Bill Newby with D.A. Davidson. Your line is open.
Bill Newby: Good morning guys. Again congrats on a great quarter.
John Hewitt: Good morning, Bill.
Bill Newby: Just another one on margins. I guess, you -- Kevin called out the small power work in Electrical is kind of helping out the recovery there in the quarter. I guess when you look at that business going forward, does -- there's a mix in that business. They're fundamentally the same and give you the same opportunity to kind of hit the midpoint of that target range or I mean I guess how should we think about that going forward into 2020? Just with the mix you have in backlog.
John Hewitt: Yeah, I think it does have a similar mix going forward. We're still going to have the smaller package power generation work. The -- we're seeing some good indication signals with the power delivery work. I said there's more work to do there. So I think we're set to be at the least to lower end of the guidance range as we move through fiscal 2020 and I know the teams are working hard to get the margins up consistently in a second.
Bill Newby: Okay. Good to hear. And then I guess on oil and gas and chemical, I mean it sounds like the spring turnaround season thus far has been pretty strong. Any insight into what the fall looks like?
John Hewitt: Yeah, I mean I think it's going to be probably similar to last year's turnaround cycle. We don't see anything really significantly changing there. Probably it is going to be dependent on whether there is some discovery work that creates more man hour demands within those turnarounds. But right now, we're expecting our teams to be fully deployed in next fall's turnaround cycle.
Bill Newby: And I guess just one more on labor. I mean John you mentioned that the general tightness across the country. Is there any of your segments where you see more or less difficulties on the labor side or is it more concentrated by geography, if any more granular thoughts there?
John Hewitt: It's probably right now is a little bit more about geography, location and the type of type of skill trade we may need in that geography, but we do a pretty good job being able to recruit nationwide on our merit, on our union business. We have great relationships with the building trades and we're generally able to fill the needs that we have at this point. And so, just in general as an industry, we've got to continue to work hard with the labor force to make sure that as an industry, we're attracting some of the best people into the industry that this -- that the construction industry is a good place to work, that people can have a good high paying job and career in a construction industry and so not on ourselves, but a lot of our competition are doing a lot of things on the side and making investments for the long term to make sure that we are sort of reversing that trend of declining labor pool.
Bill Newby: All right. Appreciate it, guys. Congrats again.
Operator: Thank you. Our next question comes from the line of Noelle Dilts with Stifel. Your line is open.
Noelle Dilts: Hi, guys. Good morning.
John Hewitt: Good morning, Noelle.
Noelle Dilts: Just kind of tying into that last question. In terms of which you touched on labor availability. Any areas where you're kind of seeing labor costs increase? And then, can you generally just speak to pricing and it's just know tightness in the labor markets and strong demand is driving any pricing across any of your businesses.
John Hewitt: We're being -- on the merit side of our business, we're being cautious as we enter into the longer term contracts and making sure we've got appropriate escalations included in those contracts to cover any potential labor increases. We have not today had any significant issues with either the availability of labor or the cost of labor that we estimated into our projects. It's not to say that people are waiting around outside the gate on our projects to come to work. So we have to do our job to make sure we're recruiting the best into our projects.
Noelle Dilts: Okay. And then circling back to the question on M&A, you've been talking about expanding and power delivery for some time. I do hear a number of companies talking about entering into that business in a bigger way. Are you seeing multiples for target increase or just kind of curious about how you're thinking about the availability of and accessibility of targets within the space?
John Hewitt: Yeah. So in the last couple of years, we've been sort of on -- hit the pause button on any acquisitions as we work through the down cycle in our market. We're just now within the past -- this year -- this calendar year actually started to get a lot more active and looking for potential candidates. So I can't really comment right now on valuations. We have not been active enough in that market. But ask me again in six months and I'd probably give you a better answer.
Noelle Dilts: All right. Sounds good. Thank you.
John Hewitt: But again just to reinforce, we're not going to -- we really want to grow that business, but we're not going to do anything stupid to do it.
Noelle Dilts: Makes sense. Thanks.
Operator: Thank you. And our next question is a follow-up from John Franzreb with Sidoti. Your line is open.
John Franzreb: Yeah. This is probably one for Kevin. The SG&A kind of stepped up sizeably this quarter from -- sequentially from the previous one. Is that just a function of higher revenue and what should we be thinking about that on a go-forward basis. And similarly, the tax rate I know you guided for the year, but what should be thinking about for tax rate for next year?
Kevin Cavanah: So on the tax rate, the 27% is really go-forward and that includes fourth quarter and I don't know any reason why it would change for next year. So right now, [indiscernible] 27%. Now we're still -- we're still doing our budget for next year to begin that process. So I guess that could change, but I don't expect it to close to 40%.
John Franzreb: SG&A?
Kevin Cavanah: SG&A. So the SG&A increase in the quarter is directly tied to the improved operating results and not to the revenue, but to the improved operating income. It's just -- it's primarily the variable component of compensation, so incentive compensation and there is some impact on stock compensation expense also.
John Franzreb: And is there a level we --
Kevin Cavanah: Going forward, we're still trying to get that SG&A down John mentioned we're making some investments. So we made some good headway this quarter, we get it down about 6.7% of the revenue. I'd like to see this get down to 6.5% next year. Again we're still in the budgeting process.
John Franzreb: Okay. Thank you very much, Kevin. Appreciate it. Thank you.
Operator: Thank you and I'm not showing any further questions. I'll now turn the call back over to Mr. Hewitt for closing remarks.
John Hewitt: Thank you everybody for joining us on the call today and I really want to thank all of our employees across our enterprise for their very hard work that they've done leading up to -- leading up to it in the third quarter and their hard work and safety, leadership as we move into this fourth quarter and into next year. So with that, look forward to seeing everybody on our next call. Thank you.
Operator: Ladies and gentlemen, this does conclude the program. You may now disconnect. Everyone, have a great day.